Executives: Douglas Beck – Senior Vice President Corporate Development Sudhakar Kesavan – Chairman of the Board & Chief Executive Officer John Wasson – President & Chief Operating Officer James C. Morgan – Chief Financial Officer & Executive Vice President
Analyst: Unidentified Analyst – SunTrust Robinson Humphrey William R. Loomis – Stifel Nicolaus Ed Caso – Wells Fargo Securities Tim McHugh – William Blair & Company 
Operator:  Welcome to the ICF International fourth quarter and full year 2013 results conference call. During the presentation all participants will be in a listen-only mode. Afterwards you will be invited to participate in the question and answer session. (Operator Instructions) As a reminder, this conference is being recorded on Wednesday, February 26, 2014 and cannot be reproduced or rebroadcast without permission from the company. Now, I would like to turn the program over to Douglas Beck, Senior Vice President Corporate Development.
Douglas Beck:  Thank you for joining us to review ICF’s fourth quarter and full year 2013 performance. With us today from ICF International are Sudhakar Kesavan, Chairman and CEO, John Wasson, President and COO, and James Morgan, CFO. During this conference call we will make forward-looking statements to assist you in understanding ICF’s management’s expectations about our future performance.  These statements are subject to a number of risks that could cause actual results to differ materially and I refer you to our February 26, 2014 press release and our SEC filings for a discussion of those risks. In addition, our statements during this call are based on our views as of today. We anticipate the future developments will cause our views to change. Please consider the information presented in that light. We may at some point elect to update the forward-looking statements made today but specifically disclaim any obligation to do so. I will now turn the call over to our CEO, Sudhakar Kesavan to discuss the fourth quarter and full year 2013 performance.
Sudhakar Kesavan : Thank you for joining us this afternoon to review ICF’s 2013 performance and our outlook for 2014. In 2013 we succeeded in further diversifying our revenue sources and building upon our domain expertise to win larger implementation contracts, two key elements of our growth strategy. This enabled us to report solid results for the year and have positioned us to achieve continued revenue growth and improve margins in 2014. With the addition of our two recently announced acquisitions we expect this to be a year of double digit growth in total revenue and net income while assuming that our federal government business remains relatively flat with 2013 levels. Here are the key factors that underlay our confidence. First, we entered 2013 with our commercial, energy efficiency, and government business accounting for 33% of revenue for the full year up from 30% in 2012. The expected contributions of two acquisitions we announced in January should move that percentage up to nearly 40% in 2014. Second, if we take a closer look at the performance in each of the [prime] categories, the growth prospects are even more compelling. Our commercial business was up 7%, nearly 10% if you exclude infrastructure projects that slowed down in 2013. Energy efficiency revenues increased 18% and accounted for 39% of commercial revenue. After a slow start in the first half of the year due to the timing of contract wins our digital interactive business picked up on the second half of the year boasting revenue growth of 19% compared to second half of 2012 and was up 20% in the fourth quarter. Revenues from our commercial health business increased 41% in 2013 compared to 2012. Aviation consulting was down 5% from last year due to winding down of a large airport contract but our energy market advisory work picked up increasing 5% from last year and also having a strong showing in the fourth quarter. Our international government business increased 44% for the year and 22% in the fourth quarter to reflect our ability to leverage existing expertise and qualifications to expand the scope of bid and proposal activity and improve win rates. We were awarded several strategically important contracts with the European Commission and the UK government.  Third, our sales performance in 2013 was excellent. We had record contract awards of $1.2 billion, up 21% year-on-year and representing an impressive book-to-build ratio of 1.23. Our backlog at year end increased 10% to $1.7 billion. Given our wins in 2013 and so far this year, we believe we have roughly 70% of our midpoint revenue guidance range for 2014 currently under contract. This is exclusive of the contributions from the Mostra and CITYTECH acquisitions.  Fourth, our pipeline leading into 2014 remains very strong. Even after the impressive contract wins of 2013, the value of our pipeline was $3.5 billion at year end. Of that number, the value of our commercial and international government pipeline more than doubled in 2013 compared to 2012 levels. Lastly, we announced two acquisitions that are expected to be accretive to earnings this year. Mostra [is around a] $40 million integrated communications firm based in Brussels Belgium with 140 employees and a full range of multi-channel communication solutions to assist government and commercial clients in reaching out to their stakeholders and customers.  Mostra has [inaudible] enabling us to replicate the success of our strategy in North America of providing [inaudible] these services and also implementing that advice. Mostra provides significant implementation expertise to our international operations and we’ll also have the ability to cross sell these implementation services to our [inaudible] clients in the European Commission and the UK side.  CITYTECH is a Chicago based digital interactive consulting firm with revenues of approximately $16 million in 2013 and 100 employees. They will add important expertise to our digital interactive business particularly in Adobe and proven managed account offerings with Amazon Web Services. Also, we’ll be able to offer ICF’s full range of strategic communications, digital strategy, and eCommerce solutions to CITYTECH’s existing commercial clients. In fact, we already work for a major retail customer where CITYTECH provides some of the Adobe implementation expertise. In addition to these revenue growth drivers, we expect EPS growth to outpace revenue growth in 2014 as our profitability benefits from the increasing contribution of our commercial business and additional scale internationally. We remain committed to our federal business and to state and local government work. We are allocating our resources in those areas that we expect to continue to be resilient which includes health, energy, and infrastructure.  Our guidance for 2014 is [inaudible] flat federal government revenues which we think is prudent in light of the current environment. We’re encouraged by the wins we had in 2013, the composition of our federal pipeline going into this year and the stability of the government environment now that we have a two year appropriation. We’re also encouraged by the potential to make additional accretive acquisitions in 2014 to build out our offerings and our [inaudible] reach. We have the financial and professional resources to support an ambitious program in this area and continue to explore larger as well as [inaudible] transactions that will add value. At this point I would like to turn the call over to John Wasson our Chief Operating Officer to provide additional insight to our business.
John Wasson : As Sudhakar noted, we were pleased with our strong sales performance in the fourth quarter and are also pleased that the current quarter capped a record sales year for us. Total federal sales were up more than 25% in 2013 versus 2012 despite the government shutdown and the uncertainty leading up to it. International government, which is benefitting significantly from our combining legacy ICF in Europe and Asia with GHK, more than doubled the sales over last year.  Also on the government side, state and local sales grew by more than a third over last year as the fiscal picture in most state governments is improving. Finally, commercial sales just missed last year’s record for the full year while fourth quarter commercial sales were up some 23% from the fourth quarter last year and with the strong pipeline we look forward to continued commercial strength in 2014.  If we delve a bit deeper into our sales performance the federal space showed a number of strong wins across all of our major markets. In addition to the key wins at ETA, and The National Science Foundation for which we issued press releases, we also secured an important win at the Social Security Administration valued at nearly $20 million to continue our support of SSA’s identity and credential management systems according to the Homeland Security Presidential Elective 12, known has HSPE 12. This work compliments the HSPE 12 support we provide to the Environmental Protection Agency based on a contract win we announced last fall. On the international front we are continuing to see larger sales wins especially in the European community as we gain scale and combine resources across legacy ICF and now Mostra. During the fourth quarter we won a contract in excess of $5 million to continue data and analytical support of the European Migration Network which provides comparable information and statistics across the European Union on migration and asylum issues.  In addition, we recently announced another key new win in the first quarter of 2014. Specifically, in late January we won a $5 million euro contract with the European Commission to support the design and implementation of a greenhouse gas emissions trading system in China. Because the European Union has established emissions trading systems across all of its 28 member states it wants to help China meet its emission reduction goals by providing training and technical assistance on an emission trading system. We are pleased that we were chosen for this high profile project based on our two decades of greenhouse gas emission work in China and three decades of greenhouse gas leadership around the globe.  In our commercial business we had excellent sales in what is normally a slower sales quarter. Our commercial book-to-build in the fourth quarter was 1.2 and sales were well distributed across all of our key commercial business areas. In energy efficiency we won eight contracts greater than $1 million for work in both residential, commercial, and industrial space including a $17 million package that includes a contract extension and a new pilot program for a large Midwestern utility. Outside of the energy efficiency area sales were particularly strong in digital interactive, commercial health, and energy markets consulting.  In addition to our good sales quarter as already noted we announced the signing of a definitive agreement to purchase CITYTECH. The addition of CITYTECH creates value for ICF in several ways. First, as an Adobe fast track strategic implementation partner CITYTECH adds significant depth to ICF’s interactive capabilities with respect to the Adobe platform which is the market software leader for digital marketing.  In addition, when combined with ICF’s interactive digital strategy, user experience, and multi-channel eCommerce integration capability, we offer a powerful combination of full service digital marketing solutions for our customers. CITYTECH’s diverse commercial client base of well-known corporations is also quite complementary to ours. Finally, CITYTECH has a strong track record of offering managed cloud offerings and is certified on Amazon Web Services market leading cloud infrastructure and that is another complimentary service enhancement to ICF’s interactive to address the emerging demand for managed cloud solution that is growing in importance for our commercial and government customers. I should also note that our pipeline is stronger than it has ever been despite a record sales year in 2013. ICF’s total pipeline of $3.5 billion is significantly higher than the $2.9 billion a year ago. Our commercial pipeline has more than doubled in the same period. Our large contract pipeline has grown to 29 opportunities greater than $25 million and 61 greater than $10 million. Finally, our turnover continues to be low. For the full year 2013 it was 10.9% and for the quarter it was 2.5%.  Now I would like to turn the call over to our CFO James Morgan.
James C. Morgan : Revenue for the 2013 fourth quarter was $229.8 million, a 1% decline as compared to the fourth quarter last year due to the 16 day government shutdown in October. As we had noted on last quarter’s conference call, our commercial business faced difficult comparisons to this year’s fourth quarter due to a spike in media buys for energy efficiency clients in 2012 fourth quarter and the slowdown of the large infrastructure projects. Without those factors, commercial revenue growth would have moved up from a reported 1.9% to nearly 6%.  For the full year, revenue was $949.3 million up 1.3% over 2012. The increase was driven by growth in commercial revenues of 6.9% and growth in non-US government revenue of 43.6% which reflects the revenue synergies of the GHK acquisition. Gross profit margin was 37.7% for the fourth quarter, up from 36.7% in last year’s fourth quarter and 37.7% for the full year of 2013 as compared to 37.8% in 2012. Excluding the effects of the government shutdown, we estimate that the gross profit margin for 2013’s fourth quarter would have been approximately 38%. Indirect and selling expenses for the fourth quarter were up $4.6 million or 7.2% compared to the fourth quarter of 2012 and for the full year were up $8.5 million or 3.2% compared to the prior year. The increase for the year resulted from higher investments in business development particularly on the commercial side, higher acquisition related costs, and the impact of the government shutdown which resulted in the higher indirect labor costs. EBITDA was $17.7 million in the fourth quarter down from $20.8 million in last year’s fourth quarter due to the government shutdown. For the full year our EBITDA margin was 9% down from 9.6% in the prior year but within the previously provided guidance range. Depreciation and amortization expense was $2.9 million up from $2.7 million in 2012’s fourth quarter. Amortization of purchase intangibles was $2.3 million in the fourth quarter 2013 down from $3.6 million in the 2012 fourth quarter primarily due to the reduced amortization of intangible assets related to the acquisition of Ironworks and Macro.  The effective tax rate was 34.2% as compared to 33.3% reported in the fourth quarter of 2012 and was 36.8% for the full year 2013 as compared to 38.5% reported for the full year 2012. The year-over-year tax rate reductions were primarily related to favorable return provision adjustments, state tax credits, and settlements of certain state income tax audits during the year.  Net income was $7.8 million for the fourth quarter of 2013 or $0.38 per diluted share inclusive of $0.02 in acquisition related costs. For the full year 2013 net income was $39.3 million and diluted EPS was $1.95 inclusive of $0.03 in acquisition related costs, a 2.1% increase over 2012. We paid down an additional $24.1 million of debt during Q4 resulting in long term debt of $40 million at the end of the year. For the full year 2013 we paid down $65 million of debt. Cash flow from operating activities for the quarter was $34.2 million and was $81 million for the full year 2013, ahead of our guidance in November as we did not experience the expected payment delays resulting from the federal government shutdown. Days sales outstanding for the quarter were 72 days compared to 71 days at December 31, 2012. As we have stated in the past we expect our DSOs to be within the 70 to 75 day range including the impact of deferred revenue. Our capital expenditures for the full year were $14.2 million somewhat less than our guidance of $15.5 million to $16 million due to the timing of certain investments. In 2013 we repurchased approximately 160,000 shares. We intend to continue share repurchases in 2014 at a level to offset the dilution caused by employee incentive programs.  Now I’ll provide additional detail on certain of our expectations for the full year 2014 which include the impact of our two recent acquisitions Mostra which closed on February 6th and CITYTECH which is expected to close by the end of March. We are currently forecasting full year depreciation and amortization expenses to be in the range of $12.5 million to $13 million and amortization of intangibles of $8.5 million to $9.5 million.  We are expecting full year interest expense of $3 million to $3.5 million. Capital expenditures are anticipated to be in the $14 million to $15 million range and cash flow from operating activities is expected to range from $70 million to $80 million. We expect a full year tax rate of no more than 38.5% and we expect fully diluted weighted average shares of approximately 20.2 million for the year.  With that I would like to turn the call back to Sudhakar.
Sudhakar Kesavan : Last year this time we were trying to provide guidance with [inaudible] two days away and without knowing there would be a 16 day government shutdown in the fourth quarter of the year. Today, the federal space is more settled and we are in a considerably better position to look ahead than we were last year. As I mentioned earlier, we expect 2014 to be a year of both organic and acquisition growth and one where we see our profitability expand considerably.  We’re looking forward to exceeding the $1 billion revenue milestone in 2014 and generating EBITDA around $100 million. Specifically, based on our current portfolio of business which includes the acquisition of Mostra and assumes the completion of the CITYTECH acquisition, we are guiding to revenues in the range of $1.025 billion to $1.065 billion and diluted earnings per share of $2.27 to $2.37. At the midpoint this represents revenue growth of 10% and diluted EPS growth of 19%.  Operator, we would now like to open the call for questions.
Operator:  (Operator Instructions) Your first question comes from Unidentified Analyst – SunTrust Robinson Humphrey.
Unidentified Analyst – SunTrust Robinson Humphrey: I wanted to ask, in your prepared remarks you talked about 70% of the midpoint of revenue was under contract, where does that stand relative to last year? If you could just give us some color on visibility this year versus last year as you make your guidance?
James C. Morgan : It’s actually slightly better than where we were last year. It’s fairly close but slightly better by somewhere between three and four percentage points.
Unidentified Analyst – SunTrust Robinson Humphrey: As we look at the pipeline can you give us any color on the commercial breakdown in the pipeline?
Sudhakar Kesavan : The commercial pipeline is lots of energy efficiency projects and consists of an increased number of digital interactive work so there is [inaudible] overwhelmingly because energy efficiency is quite long term and has larger contracts, the implementation contracts are sort of a very significant portion of the pipeline. 
Unidentified Analyst – SunTrust Robinson Humphrey: As you look at areas to do acquisitions in are there any particular areas of the portfolio that you would like to strengthen or things that look especially attractive in this environment?
Sudhakar Kesavan : I think that our acquisition strategy has not been a secret. We are looking to expand in areas of healthcare. We certainly want to continue to expand in the digital interactive arena. We would like to expand in energy, energy infrastructure so those are areas which are quite important for us as we move forward. We’ll also look at very specific areas in the federal business where we think the revenues are likely to grow which again, our focus on health and veteran’s affairs. I think that’s sort of the broad scope of our acquisition scenario. Those are the areas we are continued to focus on where we think there are a number of opportunities that exist, it is just a question of when we can close them.
Operator:  Your next question comes from William R. Loomis – Stifel Nicolaus.
William R. Loomis – Stifel Nicolaus: Just looking at the revenue breakout by segment, just taking your revenue percent you have in the release, it looks like the commercial business had a nice sequential improvement. I know it was only up 2%, unadjusted that is, but is that sequential improvement from third to fourth quarter is that seasonal or can we kind of extrapolate that going into ’14 excluding the impact of the two acquisitions?
John Wasson : I think we did see greater strength on the commercial side in certain sectors in the fourth quarter. I think some of our digital interactive business [inaudible] has shown a robust growth in the second half of the year and certainly in the fourth quarter was up I think 20% from the prior fourth quarter. Commercial health remains quite strong for us, we had very robust growth there and so I think there has been improvement and we expect that continue into early next year.
William R. Loomis – Stifel Nicolaus:  But no unusual events happening seasonally in the fourth quarter?
John Wasson : No I don’t think there were any unusual events or any specific event that drove that. I think it was kind of strength in the certain markets I mentioned.
William R. Loomis – Stifel Nicolaus: Then federal looks like it was down about roughly 6%, how much of that was the shutdown? If there was no shutdown what might the revenues have been?
James C. Morgan : By far the decrease is driven by the shutdown and I would say if you’re looking from a quarter-over-quarter perspective, I think we would have been somewhere in the neighborhood of roughly flat as opposed to where we were down 7%. 
William R. Loomis – Stifel Nicolaus: You had very strong book-to-build in the September quarter on federal and it was pretty good in December .9 when I back out your commercial and I guess that includes international government but it looks like it was still pretty good given the size of government. Why in ’14 if we do get a strong pickup in awards in the back half given the two year budget deal, why only flat? Are you just being cautious after what happened in 2013 because it seems what you won last year the areas you’re in plus the budget stability I would think we’d be looking a little bit more than flat in ’14?
Sudhakar Kesavan : As I said in my remarks we’re being prudent. I think by the time the agencies and the departments get the budget and break it down [inaudible] and it flows down to the folks who really deal with us, it is going to take a while. We don’t really know how the pieces are going to move around so we hope that you’re right that things will improve and everything will be kosher and everything will be fine, but we’ve seen that it takes a while for the government, which is a big entity, to move the dollars through the different departments and divisions. So we’re just making sure that we take a cautious approach because it certainly warranted given what has happened over the last few years.
William R. Loomis – Stifel Nicolaus: But you’re not seeing any specific bothersome contract issues like [USAID] dropping off or anything like that? It’s just being more cautious on the macro environment?
Sudhakar Kesavan : Right. Correct.
Operator:  Your next question comes from Ed Caso – Wells Fargo Securities. 
Ed Caso – Wells Fargo Securities: I just wanted to ask a little bit about the two acquisitions. How accretive were they? Can you help us out with that as far as earnings per share was concerned? I assume you’re going to pay this with debt, are there earn outs involved?
James C. Morgan : From an accretion perspective, if you look at our year-over-year increase in EPS I would say probably in the neighborhood of 25% of that is going to be due to the acquisition so we are expecting accretion associated with that and do the math on what that would be, 20% to 25%. As far as how they’re being paid for, you’re correct we will use our credit facility to pay for those and there’s no earn out in either one of them. As far as timing too as far as when the accretion will occur in Mostra we expect that acquisition to be accretive starting early in Q2 timeframe and then with CITYTECH that should start to show accretion in the Q3 timeframe.
Ed Caso – Wells Fargo Securities: The EBITDA, I think if we did our math right is 9.5 to 9.6 maybe in that range implied in your guidance, the EBITDA margin and I think we calculated 9.0 this year. How much of that 50 to 60 basis point improvement is from the acquisitions?
James C. Morgan : I would say from an overall perspective I think that our EBITDA margins will be a little bit higher than your 9.5 to 9.6 range. I think they’ll be closer to the middle or upper end of the range of 9.5 to 10. As far as overall contributions from the acquisitions as far as how they will impact that EBITDA margin I think it will be somewhere between breakeven to slightly positive. 
Operator:  (Operator Instructions) Your next question comes from Tim McHugh – William Blair & Company.
Tim McHugh – William Blair & Company: First I guess just to clarify on the comment you said with federal flat next year, and I apologize if I missed this, but does that include the impact of the government shutdown which I assume creates an easy comp at least for the fourth quarter?
James C. Morgan : We are expecting with the impact of the revenue shutdown that we would be basically flat. 
Tim McHugh – William Blair & Company: I asked it in a confusing way but just on a reported basis it’ll show flat or are you saying it will show up but it is really just up because of the government shutdown?
James C. Morgan : I would say right now we are expecting flat revenues, kind of a comparison of 2013 absolute numbers to 2014 absolute numbers so that’s what we kind of baked into our projections. Hopefully we can do a little better.
Tim McHugh – William Blair & Company: Where are we at in terms of you talked about large projects that created a headwind for you in 2013 and I think the expectation was as you got to the last half of the year and into ’14 they wouldn’t be a headwind anymore, at least relative to 2013. Is there any update to the outlook there? Do we still feel like that can at least not be a headwind or even add to growth as you go into next year?
John Wasson : I think the two large projects we talked about are our large state and local projects out on the west coast and I think on that one we do expect growth this year and so I think most of the headwind challenges on that project should be behind us for 2014 pretty much on a sequential basis so we should see growth each quarter on the large state and local project. I think on the large commercial infrastructure project we talked about also out on the west coast, I think for the year we’re expecting that to be essentially flat. I think for the first quarter of 2014 it will be down a bit but then for each of the following quarters it will show an increase. But for the year it will be overall basically flat. So I would say by in large those comparable issues with those two contracts are behind us except for a little bit in the first quarter on the large commercial project out west.
Tim McHugh – William Blair & Company: Can you give us a sense for how much the two acquisitions, maybe even if you don’t want to say individually in aggregate, how much you spent? I’m trying to get a sense of the cash or balance sheet you’ll have afterwards? When they close?
Sudhakar Kesavan : Basically [inaudible] 12 months EBITDA, that is certainly true here. If you add the numbers up they’ll be – let’s finally close them and then you’ll be able to get the numbers in the 10K, the combined numbers. Let’s finalize those numbers and then we’ll give them to you.
Operator:  We have no further questions at this time. I will now turn the call back to management for closing comments.
Sudhakar Kesavan : Thank you very much for joining us today. We look forward to speaking with you again after the release of the first quarter results. Thanks again.
Operator:  Thank you ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.